Operator: Good day, and welcome to AstroNova's Fourth Quarter Fiscal Year 2017 Earnings Conference Call. Today's conference is being recorded. 
 At this time, I would like to turn the call over to David Calusdian. Please go ahead. 
David Calusdian: Thank you. Good evening, everyone, and thank you for joining us. Hosting this morning's call are Greg Woods, AstroNova's President and CEO; and John Jordan, Vice President and CFO. Greg will begin the call by reviewing the company's operating highlights and business outlook. John will take you through the financials. Greg will make some concluding comments, and then management will be happy to take your questions.
 By now, you should have received a copy of the earnings release that was issued earlier today. If you do not have a copy, please go to the Investors section of the AstroNova website, www.astronovainc.com. Please note that statements made during today's call that are not statements of historical fact are considered forward-looking statements within the meaning of the Securities and Exchange Act of 1934. These forward-looking statements are based on a number of assumptions that could involve risks and uncertainties. Accordingly, actual results could differ materially.
 Such forward-looking statements speak only as of the date made, except as required by law. The company undertakes no obligation to update these forward-looking statements. For further information regarding the forward-looking statements and factors that may cause differences, please see the Risk Factors section in the AstroNova annual report on Form 10-K and other filings the company makes with the Securities and Exchange Commission.
 To supplement its consolidated financial statements presented in accordance with GAAP, AstroNova uses free cash flow, which the company defines as net cash from operating activities less capital expenditures. The company believes that the inclusion of these non-GAAP financial measures help investors gain meaningful understanding of the changes in core operating results. It can also help investors to make comparisons between the company and the other companies on both the GAAP and non-GAAP basis. 
 Now I'll hand the call over to Greg Woods. 
Gregory Woods: Thank you, David. Good morning, everyone. I'm pleased to review the company's fourth quarter and full year fiscal 2017 performance and provide perspective on our recent TrojanLabel acquisition.
 Turning first to our financial results. We achieved a record quarter in revenues at $25.7 million, representing an 8% increase over the prior year's fourth quarter. We also achieved record full year revenues of $98.4 million, an increase of 4% over the previous year's annual revenue. Product Identification revenues came in at $18.7 million, up 13% over the prior year and setting a new quarterly record for this segment. This result is underscored by the robust demand for our color inkjet printers and consumables, as color printer placements reached a record level. Our Test & Measurement segment posted revenues of $6.9 million, up 7% over the third quarter, but 3% lower than the prior year's fourth quarter sales. 
 For the full year, both segments reported year-over-year growth. Product Identification revenues were up 4% over the prior year at $69.9 million with the increase traceable to the continued expansion of the company's digital inkjet color printers and consumables. The Test & Measurement segment reported revenues of $28.6 million for the year, also up 4% over the prior year, with the aerospace line of ToughWriter printers and consumables the key growth drivers. 
 From a channel perspective, we experienced significant growth in the fourth quarter from our international markets, with revenues reaching $8.1 million, a double-digit increase over the previous year. The international growth was accomplished despite the adverse impact of foreign exchange rates based on the strong dollar. We also achieved year-over-year growth in our domestic markets with revenues at $17.5 million, representing a single-digit increase over the prior year. 
 We continue to expand AstroNova's global presence by establishing new dealer relationships in China and several Latin American countries, as well as opening the company's first-ever office in India. 
 Operating margins improved both in the fourth quarter and in the full fiscal year, underscoring our ability to grow revenue at a faster rate than operating expenses. More importantly, we made progress throughout the year by accelerating product development, innovating process improvements and applying IT tools to automate procedures throughout the organization, while expanding our addressable market opportunities and continuing the planned transformation of our business operations. 
 As I visit customers, meet with our sales teams and talk with other CEOs at industry events around the world, a recurring theme emerges, that theme is the power of technology to unlock new opportunities. On the Product Identification side of our business, virtually everyone I meet is talking about the ability of digital technology to customize, transform and differentiate their product packaging and labeling. Increasingly, they are turning to AstroNova to help drive that transformation. 
 In the fourth quarter, we unveiled the latest addition to our Product Identification family, the QL-800. With its wide-format, digital color inkjet engine, the QL-800 is a powerful new business tool that allows companies to produce brilliant color labels in the short- or medium-run batches in-house. Customers can produce custom, narrow and wide-format labels up to a width of 211 millimeters. 
 We introduced the QL-800 in November at the PACK EXPO International trade show and the response has been terrific. Customers love the versatility, speed and print quality of the product, which delivers the results of a high-end digital printing press at a fraction of the price. With the launch of the QL-800, our Product Identification segment returned to growth in the fourth quarter, hosting a sales increase of 13% over the same period in fiscal 2016. As you recall, that segment sales were down in Q3, as customers awaited the introduction of the QL-800, the first entirely new QuickLabel product platform in 4 years.
 PACK EXPO was a very successful show for us. We generated a number of QL-800 orders, including several from Latin American countries. As I mentioned on our Q3 call, we recently strengthened our position in Latin America by hiring a sales manager with significant experience in the digital label printing market and he's off to a great start. 
 Now let me turn to our Test & Measurement segment, where we continue to design and develop innovative products that deliver outstanding value for our customers. A prime example is our ToughWriter 640 flight deck printer, which was recently selected for inclusion in the Boeing 737 catalog. 
 Over the past several years, we have become a significant player in the wide-format flight deck printer market. With innovative products like our ToughWriter 5, inclusion of the ToughWriter 640 in the Boeing catalog, now signals the acceptance of our industry-leading narrow format printer on a major aircraft program. This is especially important when you consider that a high percentage of the Boeing 737s being produced require a narrow format printer.
 Because of the nature of the airline industry, it's also important to remember that our aerospace business is about long-term growth. We announced inclusion of the wide-format ToughWriter 5 in the Boeing catalog more than a year ago, and we're just now starting to win projects. Many of which are scheduled for delivery in calendar 2018 and calendar 2019, so it will likely be about 18 months before we can expect to see significant revenue from the inclusion of the narrow-format ToughWriter 640. However, I cannot overstate the importance of being selected for inclusion in this Boeing catalog. It not only creates a number of upgrade opportunities for us, but it also opens up doors with several prospective customers for whom being in the catalog is a prerequisite to doing business. 
 Revenue in our Test & Measurement segment was down about 3% in the fourth quarter, reflecting order timing issues with some of our aerospace customers and the conversion process to next-generation data acquisition products. Late in the third quarter, we did receive final CE approvals for the new DDX100 portable data acquisition system. Shipments of this product are now underway, and we expect that business to accelerate as we move through fiscal 2018.
 We have further expanded our T&M product line with the addition of the EVX smart chart recording system, which we introduced in the second half of last year. The EVX, again, illustrates our ability to design and manufacture highly differentiated products for the data visualization market. By incorporating interval data printing, the EVX is ideal for fast-growing science and engineering applications such as nondestructive testing, power system monitoring, flight and missile testing, flight simulation and satellite telemetry. 
 Now let's turn to our acquisition of TrojanLabel, which we completed just after our fiscal year ended on February 1. TrojanLabel is a European-based manufacturer of products, including digital color label presses and specialty printing systems for a broad range of end markets. This acquisition dovetails with our long-term strategic plan incorporating a profitable growing business that directly complements one of our existing core business segments. Excluding acquisition-related expenses, we expect the acquisition to be accretive to earnings in the first 12 months of combined operation. 
 Let me highlight some of the benefits of this transaction. First, TrojanLabel expands our product line with the addition of proven technologies focused on larger job runs within the digital printing market. Its customers include print shops, commercial printers, manufacturers, brand owners, contract packagers and the OEM market. By acquiring TrojanLabel, we gained the leading product line in the mini-label press market. We also add 3 commercial products, gain a great team of engineers and substantially reduce our time to market for other products already on our product development road map.
 TrojanLabel's newest product, the Trojan 3, is a transformational and versatile printing system. The T3 allows customers to print digital color images directly on a wide variety of materials, including cardboard, flexible mailing envelopes and even on wood. Of course, it also does a fantastic job printing vibrant color labels on our full range of inkjet receptive media. The T3 can either be combined with our versatile vacuum belt conveyor system or it can be integrated with a wide variety of third-party OEM devices such as mailing tables, high-speed packaging lines and label converting presses. The T3 is truly a game changer, creating a new category in the color inkjet printing world.
 The second benefit of this transaction is that TrojanLabel substantially broadens our geographic footprint, complementing our strong North American direct sales force with Trojan's formidable dealer network in Europe, the Middle East, Africa and Asia. 
 Third, the AstroNova-TrojanLabel combination creates huge cross-selling opportunities. Placing TrojanLabel products in the hands of our North American direct sales force creates a significant market boost for these printers as well as the associated consumables. 
 TrojanLabel operates as a wholly owned subsidiary of AstroNova. As we've done with our previous 2 acquisitions, we are using the AstroNova Operating System, AOS, to rapidly integrate this latest acquisition. AOS is a set of lean tools and customer-centric business processes we have developed over the past 4 years. AOS is based on our corporate values and focused on efficiency and effectiveness. These values encompass our commitment to work collaboratively, embrace innovation, drive continuous improvement and deliver value for our customers, employees and shareholders. Just one week after the Trojan closing, we presented our combined product lines at the annual WestPack show in California and received significant interest from both current and prospective customers. 
 Looking ahead, we do have a fair amount of IT system integration to complete. But we expect to have the majority of this work finished by our fiscal third quarter. We'll also be making substantial investments in fiscal 2018 in sales, marketing, engineering and technical support. These investments are designed to rapidly expand our addressable markets and accelerate profitable growth. We're excited about the integration and this -- and integrating this talented TrojanLabel team, innovative technology and outstanding products into our AstroNova family. 
 Now let me turn the call over to John for the financial review. 
John Jordan: Thank you, Greg. Good morning, everyone. As Greg mentioned, revenue increased to a record $25.7 million in the fourth quarter and $98.5 million for the full year of 2017. Domestic revenue of $17.5 million was essentially the same as in the fiscal 2016 fourth quarter. Revenue from international sales increased 28.2%, with higher sales in most international markets. Fluctuations in foreign exchange rates reduced revenue by approximately $188,000. 
 Revenue in the Product Identification segment contributed $18.7 million in the quarter, 13% more than the fourth quarter of fiscal 2016. Revenue for the Test & Measurement segment was $6.9 million, off about 3% from the same period a year earlier, largely reflecting transition to our next-generation data acquisition products and the timing of the aerospace order releases. The consumables product category continues to deliver strong recurring revenue with revenue of $14.8 million for the fourth quarter, 15% higher than the same period in fiscal 2016. Hardware revenue of $8.5 million was 7.4% lower than the fourth quarter of fiscal 2016, largely related to order timing as we ramp up the new products in both Product Identification and Test & Measurement. 
 Revenue from service, parts and repairs contributed $2.4 million in the quarter, 27.7% more than the fourth quarter of fiscal 2016. For the year, consumables revenue was higher by 8.5%, hardware revenue was off by about 2.9%, and service, parts and repairs increased 5.1%.
 Gross margin increased 90 basis points in the quarter to 39.3% and gross profit increased to $10.1 million from $9.1 million in the same quarter of the prior year, primarily as a function of the revenue increase.
 Operating expenses increased $581,000 or 7% to $8.9 million in the fiscal 2017 fourth quarter from $8.3 million in the same period a year earlier. 
 Transaction costs associated with the TrojanLabel acquisition were $610,000 during the quarter. As a percentage of revenue, operating expenses declined to 34.8% of revenue in the fourth quarter of fiscal 2017 from 35.1% in the same period a year earlier. 
 Operating income for the fourth quarter increased by $359,000 or 45% to $1.2 million, reflecting our disciplined approach to managing costs and a reasonable ability to leverage the cost structure to deliver gross profit to the operating income line. If expenses related to the acquisition are excluded, operating income increased to $1.9 million. For the full year, operating income increased 6% to $6.3 million, an operating margin of 7% in 2017.
 The Product Identification segment generated $2.8 million in segment operating profits with a margin of 14.7%. And Test & Measurement reported operating income of approximately $775,000 with a corresponding segment margin of 11.2%.
 The income tax provision in the quarter was approximately $782,000 at disproportionately high 50.5% provision due to nondeductibility of certain acquisition transaction costs and adjustment of deductions calculated in prior quarters. If the effects of the acquisition are removed, the effective tax rate for the quarter would be 37.3%, and the full year effective tax rate would be 33.3%. 
 Fourth quarter 2017 net income was $766,000 or $0.10 per diluted share compared with $828,000 or $0.11 per diluted share in the fourth quarter of fiscal 2016. If expenses related to the acquisition are excluded, net income for the 2017 quarter was $1.3 million or $0.18 per diluted share. Net income for the full year was $4.2 million or $0.56 per share in fiscal 2017 and $4.5 million or $0.61 per share in fiscal 2016. 
 On the balance sheet, cash and marketable securities were $24.8 million at January 31, 2017, compared with 24 -- $25.4 million at the end of the third quarter this year and $20.4 million at the end of fiscal 2016. 
 Accounts receivable at the end of the quarter were $15.7 million, representing 49 days sales outstanding compared with 52 days at the end of Q3 2017 and 50 days at year-end 2016. Inventory at the end of the quarter was $19.5 million, representing 114 days of inventory on hand. Inventory at the end of fiscal 2016 was $14.9 million, representing 92 days on hand. The higher inventory level was driven by the ramp of new products in both Product Identification and the Test & Measurement segment. 
 Capital expenditures for the quarter were $279,500, primarily related to improvements to physical plant and IT system and software updates. The fourth quarter dividend is $0.07 per share, returned $523,000 to shareholders. There were 312 AstroNova team members at the end of fourth quarter, down from 318 at the end of Q3 2017. Revenue per employee was $310,000 based on trailing 12-month average population, a 10% improvement from $286,000 in the same period last year. 
 Bookings in the fourth quarter were $26.4 million, 5.9% more than in the prior year quarter. Backlog at $17.6 million with $700,000 higher than at the end of Q3 fiscal 2017, primarily attributable to the strength of orders in the Product Identification segment.
 Free cash flow for the 12 months ended January 31, 2017, was $5.7 million compared to $4.7 million in fiscal 2016.
 Greg discussed the acquisition of TrojanLabel, which is now a wholly owned subsidiary of AstroNova. The purchase price was approximately $9.1 million with an additional earn-out potential of approximately $5 million to $7 million subject to closing adjustments. We also put a $9.2 million strategic financing in place to make use of offshore cash flows and reduce our cost of capital. And by use of a swap transaction, we swap the variable rate U.S. dollar obligation for a 0.67% Danish kroner fixed rate obligation. That trade enables us to take advantage of the current negative interest rates in Europe and a basis point reduction due to the supply/demand anomalies available with the Danish kroner. 
 Before I return the call to Greg, I'll remind you that Greg and I will be in New York City on Wednesday, March 29, to present at the Sidoti Spring 2017 Emerging Growth Conference. If you're planning to attend the event and would like to arrange a one-on-one meeting, please contact Sharon Merrill Associates, and I'll give you the phone number it's (617) 542-5300. 
 Now I'll return the call to Greg for closing comments. 
Gregory Woods: Thank you, John. We are pleased with our financial and operational accomplishments in fiscal 2017, highlighted by record revenue, solid operating income and new products in both segments. In TrojanLabel, we've acquired a great business with products that deliver the best value proposition for customers in the mini-press and specialty printing markets. As we move into fiscal 2018, we remain focused on executing our long-term strategic growth initiatives. These initiatives are designed to expand our business through new product introductions, geographic channel expansion and investments that strengthen our brands and improve our operational efficiency. 
 And with that, John and I will be happy to take your questions. Operator? 
Operator: [Operator Instructions] And our first question comes from Tom Spiro with Spiro Capital. 
Thomas Spiro: I had a couple of questions about the QL-800. I wondered as our sales of hardware in the Product Identification segment and consumables shift towards the QL-800 what the margin implications will be? Does QL-800 have a similar gross margin? Does consumables have similar gross margins? What will that mix shift imply? 
Gregory Woods: Yes, it's pretty similar, Tom. I mean, it depends on what consumables they take. There's a likelihood that the QL-800 will actually use more consumables. So the consumables per product versus our 4-inch product would actually go up. It's obviously early days, but that's what we've seen with our previous 8-inch shipped products, the Kiaro! 200. 
Thomas Spiro: And are the gross margins generally comparable between the Kiaro! and the QL-800? 
Gregory Woods: Yes, they are similar. It's may be slightly less on the 800 and a little bit more on the consumables for the 800, so it probably balances out. 
Thomas Spiro: I see. And is the QL-800 going to be the first of family of QL products? Or is that it? 
Gregory Woods: It's actually the second. So we had the QL-111, which we introduced about a year before that. But that was -- we didn't really call it a full new product, because it was a modification of our Kiaro! 100. So this is a totally new from a ground-up product in terms of the transport and really everything in the product is different than the Kiaro! line. 
Thomas Spiro: Sure. But as -- with the Kiaro!, I remember we came out with the D line, we had the narrow, the wide. We had -- ended up with, I think, perhaps, maybe half a dozen versions. Is that the goal for the QL as well or no? 
Gregory Woods: Yes, yes, there is another -- well, there's multiple versions. So we have a 5-year product road map, and the road map pretty much has a tick at least once a year of a new product coming out in that family. 
Thomas Spiro: I see. And lastly, John, in your commentary, I think you gave us the operating income numbers for the company without the acquisition expenses and I missed them. Could you repeat them, please? 
John Jordan: Yes. We were at $359,000 for the quarter -- increased $359,000 to $1.2 million. And if we take out the acquisition costs, it's $1.9 million. 
Operator: [Operator Instructions] And our next question comes from Steve Busch with Everglades Resources. 
Steve Busch: So are we still buying back stock at all? I know we haven't done any in a while, but is there still a plan? And do we see now that we're back on a growth track to restart that program at all? 
Gregory Woods: We actually -- there is a board authorization for a number of shares, and it's really -- it hasn't gone away. So it's really been a constant, quite frankly.
 Again, I mean, we do have authorization, but we're not doing anything different than we have been. 
Steve Busch: Right. Okay. And we used to have a number that you would give that was the, I don't want to call it the backlog, but it was the kind of your airline orders long term. Do you still have that number? 
Gregory Woods: Yes, we aren't actually publishing that number right now. So you can -- people can make their own judgments on it. If the question is, do you go out, the contracts don't really have a fixed end date. So some of them go out indefinitely, some are 10, some are 20 years. But if you take a look at the marketplace and look at where, for example, wide-format printers are used, yes, we have the majority of that market share. And the narrow-format, of course, we're just jumping in there. So you can pull together your own estimates on that. 
Steve Busch: All right. So you don't give that old backlog number, whatever it was called? 
Gregory Woods: Yes, we stopped publishing that over and discussing that well over a year ago. 
Operator: And we will now hear from Charlie Doe [ph]. 
Unknown Analyst: Just wondering what your inventory increase was for the quarter and the year? 
John Jordan: Yes, for the year, it's about $5 million. It was $14 million at year-end last year. I will give you the precise number in a second. So we were at $19.5 million at year-end. And last year at year-end, we were at $14.9 million. 
Unknown Analyst: Almost like a $5 million increase in inventory? 
John Jordan: Yes, $4.5 million, say. 
Unknown Analyst: Right. And how does the CapEx for the year compare to your long-run expectations in your 5-year plan? 
John Jordan: We are a little less this year. About half of what our normal plan would be at, say, $2.5 million. We didn't buy any substantial machinery and equipment this year, but we have plans coming up when we will be spending somewhat more in CapEx. 
Unknown Analyst: In fiscal year '18? 
Gregory Woods: Right. And Charlie [ph], to give you a little more color on that, we've talked in the past about some of our high-volume label production equipment. And we did a project this year, as a matter of fact it's being finished as we speak on the first machine. The reason we want to buy -- we would have had a second one on board already. But we are adding some nice upgrades to that. We want to prove out that they actually do what we expect them to do. And then we'll get back in the order queue from the -- it's kind of a substantial investment for each one of those machines, several hundred thousand dollars. But if all goes well in the next couple of weeks, we will be putting an order in for another one very shortly. That is in our capital plan for this year. 
Unknown Analyst: Right. What kind of ROI are you expecting in terms of this CapEx expenditures on improving -- decreasing expenses? 
John Jordan: Well, we certainly expect an ROI better than our cost of capital. But we wouldn't go into any further detail than that. 
Gregory Woods: One thing I can tell you is about the machine I just talked about. The production efficiencies on that are about 2.5x our existing equipment. So it's a very nice improvement. 
Unknown Analyst: That's a substantial improvement. So regarding the recognized [ph] equipment, can you provide us with any insight into what percentage -- if you look at each of the contracts, how many -- what percentage are at full delivery during fiscal year '17, '18 and '19? In other words, what kind of growth are you expecting in those areas? 
Gregory Woods: Yes. I mean, there's so many different contracts. I don't have the number on top of my head. But we've got a number that are ramping up that we've announced. I think if I go back to the more recent announcements, the 777 program, the 777X is a brand new program. The 787 is a project that we're on, that's ramping nicely. You can pretty much follow the aircraft deliveries and get a good feel for that, how the overall industry is going. And the most recent one I referenced is 737. The wide-format we just bought it, like I said, a little over year into that with the wide-format printer being available in their catalog. And if you look at the ramp of that, I think, Boeing is roughly calling about a 9% to 10% increase per year on that aircraft, and it's by far their highest running aircraft. If you look at that, I think, they are in the mid-40s right now, trying to get up into the 50s and maybe as high as 60 units per month, which if you look at some of the wide-body aircraft and they are more in low hundred kind of numbers -- hundreds as far as the annual deliveries. So it's kind of significant to be on that program and now both on the narrow and wide-format give us some great exposure. But that particular one, as I mentioned, the narrow-format, we probably won't see much for about 18 months or so. 
Unknown Analyst: Right. So would it be safe to say that it sounds like less than half of the existing contracts will be full year exposure for fiscal year 2018? 
Gregory Woods: Yes, I can't put an exact number on there. What I can -- what you can use for planning purposes if you like, is you can take a look at the overall growth of the airline industry and know that we will be growing faster than that because we are adding contracts. We don't have full market share. So we aren't on every single plane that ships today. That's probably the best estimate I can give you. 
Operator: And once again, we will hear from Tom Spiro with Spiro Capital. 
Thomas Spiro: Greg, I know we introduced a couple of new data acquisition products over the last year or so. I guess, I don't see them in the numbers yet. How they doing? 
Gregory Woods: As I mentioned, the Daxus has been out a little over a year. I didn't even talk about that one today. But it's just a product, the DDX100, which is a Daxus that comes with a touchscreen, being well received. So we were held back on the approvals where we couldn't actually deliver some of those, so now we've got deliveries going out on those. But the Test & Measurement, the data acquisition piece of Test & Measurement is little similar to the aerospace in it takes a while to ramp up. In the case of data acquisition, it's not so much long-term contracts. It's more of adoption by customers. So the good news is that we're getting very good feedback with respect to the feature set, the price point, the packaging of the product, so we're very encouraged about that in 2018. 
Thomas Spiro: Are we actually getting commercial sales. No? I mean we're really selling them? 
Gregory Woods: Yes, yes. The Daxus has been shipping for a while now, and the DDX100 started shipping right around the end of third quarter, beginning of fourth quarter. 
Thomas Spiro: I see. All right. We talked a little earlier about the CapEx. Can you give us a CapEx budget for the current fiscal year? 
John Jordan: I don't think we put it out perspectively. But we would expect it to kind of, in general, that should be moving more towards our depreciation number. That's typically what we're running. 
Thomas Spiro: I see. And your R&D, we've talked about this in past quarters, seems to run much higher than it used to. I know some of that is acquisition expenses. What are your thoughts about -- sorry, not R&D, G&A. What are your thoughts about G&A as we move into the new year? 
Gregory Woods: Yes, the G&A, I think the rate of growth -- well, I don't think, I know the rate of growth in our G&A is going to be much less than the top line. So we're going to start to see that pull in a bit. We had -- there was other, kind of, onetime items that we don't call out in there that we had in fiscal 2017. With regard to consultant size and things like that, some of the IT programs that got involved with that, which won't necessarily repeat in future years. 
Operator: And with no further questions, I'll now turn the call back over to Mr. Woods for any additional or closing remarks. 
Gregory Woods: Great. Thank you. So thank you, everyone, for joining us here this morning. We look forward to keeping you updated on our progress, and have a good day. Bye now. 
Operator: And that concludes our conference for today. Thank you for your participation. You may now disconnect.